Operator: Good day everyone and welcome to the MarineMax Incorporated first quarter 2011 earnings conference call. Today’s call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to Ms Kate Messmer from ICR, please go ahead ma’am.
Kate Messmer: Thank you, Operator. Good morning everyone and thank you for joining this discussion of MarineMax's 2011 fiscal first quarter results. I'm sure that you've all received a copy of the press release that went out this morning, but if you have not, please call Linda Cameron at 727-531-1700 and she will fax or e-mail one to you. I would now like to introduce the management team of MarineMax, Bill McGill, Chairman, President and CEO and Mike McLamb, CFO of the company. Management will make some comments and then will be available for your questions. Mike?
Michael McLamb: Thank you, Kate. Good morning everyone and thank you for joining this call. Before I turn the call over to Bill, I would like to tell you that certain of our comments are forward-looking statements as defined in the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risks include but are not limited to the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share, and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I turn the call over to Bill.
Bill McGill: Thank you Mike and good morning everyone. We are very encouraged by a few areas of progress in the quarter even with the challenges that our industry continues to face. Mainly we were able to achieve a significant year-over-year increased in new boat sales and product margins increased incrementally as the ageing of our inventory improved. The industry challenges persisted in the December quarter with reports showing that the segments in which we operate, new boat – new unit sales were down approximately 30% and historically low consumer confidence levels continued. Given this backdrop, the fact that our new boat sales for the first quarter were up in units about 25% overall, lead by an even stronger Sea Ray as well as some of the other key brands offerings is a real positive. The growth we experienced in new boat sales contradicts the latest industry data for the December quarter which we viewed as an evidence of our continued progress in gaining market share and we believe that validates our retailing strategies as well as strengthen the brands we represent. As I mentioned earlier, we were also able to generate this increase in new boat sales while increasing margins. The strength in new boat were masked in our overall results due to a decline we experienced in used boat sales versus last December quarter. Over the past few years, there is been a shift in our industry towards the sale of used boats due to the influx of inexpensive but relatively good quality used boat inventory due to repossessions in other market dynamics. Historically the industry sales mix has been made up of approximately 70% used boats and 30% new boats in terms of units. In recent years, due to the increased availability of attractively priced and in an abundance of used boat inventory this shifted to about 85% of used and only 15% new. Now the industry is in a situation where availability of late model used boat inventory at attractive prices has diminished greatly. As a result our inventories of used boats and that of the industry has become leaner than in the past few years and this in turn has impacted our used boat sales. We also believe that this in turn has and will continue to benefit new boat sales as the pricing of used inventory is stabilized and increase, consumers will focus more attention on new boats when making their purchase decisions and be more willing to trade their boats with improved trade values. We believe that eventually the historic levels of used versus new will likely return as new boat sales pick up. Moving on to inventory well our inventory levels generally rise seasonally from September to the December quarter, we were able to keep our inventories approximately flat on a sequential basis. As of December 31, our inventory stood at $189 million. Importantly, the ageing of our inventory continues to improve. Inventory levels across the industry also appeared to be much better aligned with demand and also continue to show improved ageing. Our gross margin of 25.6% for the quarter was up compared to September of last year. We continue to make modest improvements in our higher margin businesses such as service, parts and accessories brokerage and finance insurance. These improvements should continue to benefit gross margins. While there are always mix shift that impacts our gross margins from quarter to quarter, we believe that we can maintain margins in the mid 20% range on an annual basis of course subject to further declines in the economy or deterioration of the inventory ageing conditions. Dealer failures are ongoing, however the pace is certainly at levels far less than in the past few years. The impact of the failures is also much less severe since for the most part the inventory of these dealers is very low. We believe that the pace of dealer failures will continue to diminish as we move ahead, which is good for our industry and the consumer. During the quarter we were able to reduce our SG&A cost by $2.2 million year-over-year. We continue to make progress and reduced our operating cost and are maintaining a focus on tightly controlling this area. As we have mentioned in the past, the 56 stores we operate today produced in excess of $1 billion in revenue in 2006 and 2007. So going forward, we believe this provides us with a significant opportunity for growth without corresponding increases in our fixed costs. Our January boat shows are showing increased consumer attendance, however sales at the shows reflect a mixed message with some shows being up significantly and others flat and other slightly down. Rather than a geographic mix impacting the result, it appears that adverse weather may have contributed to those that were flat or slightly down. It is still early in the winter spring boat show season, so it is difficult to make a conclusion but it does appear that the industry may have finally bottomed out. Retail financing is also showing that the availability of credit is easier. I will now ask Mike to provide more detailed comments on the quarter. Mike.
Mike McLamb: Thank you Bill, and good morning again everyone. For the three months ended December 31, 2010, our revenue was $92 million down approximately $8 million from the prior year. Our same store sales declined by 8%. As Bill mentioned, this decline was due to a decrease in used boat sales. Used boat sales declined due to the reasons that Bill mentioned. Keep in mind; we have more used boats to sell last year as there where trade-ins we took during our September 2009 inventory liquidation quarter. I will add that the strength in new boat sales was fairly widespread across the country and across the side segments that we carry. Florida’s performance was incrementally better than the rest of the country. Gross profit as percentage of revenue was 25.6% in the first quarter up about 400 basis points from the prior year and also up from the 24.2% that we reported in the September quarter. This improvement was driven by incremental increases in margins our new and used boat sales and improvements in our higher margin businesses as Bill mentioned. These businesses have continued to gradually grow as a percentage of our overall revenue mix. Considering 2006, services and parts and accessories accounted for 8% of our revenue and in 2010 they accounted for over 16%. This increase was caused by the sharp drop in boat sales but also due to our focus to expand these businesses. When things recover in the future, our margins should be higher than the past due to the expansion of these businesses from historical levels, it is nicely at higher gross margin dollars despite the drop in revenue. Our selling general and administrative expenses decreased approximately 7% or $2.2 million during the quarter to $27.4 million; while this represented a slight increase as the percentage of revenue, we were pleased with our progress and continue to reduce our costs. Interest expense decreased more than 40% to approximately $840,000 due to a more favorable rate on our lines of credit and less average borrowings. Regarding income taxes, we did not recognize any material income tax expense or benefit and as we have discussed in the past we are likely not to do so until we return to sustained annual profitability. The net loss for the first quarter of fiscal 2011 was $4.7 million or $0.21 per share, the loss is much better than net loss of last year of $9.1 million or $0.42 per share when you exclude the tax benefit. We also concluded certain aspects of our relationship with the manufacturers brand restructuring in late fiscal 2008. The impact was at a loss in the quarter was reduced by the unwinding of reserves that proved to be not required. Specifically gross margins benefited approximately $500,000 and SG&A benefited by approximately $700,000. Revenue was also increased by approximately $200,000. Altogether before factoring in other costs that were associated with the winding down, the resolution with this manufacturer benefited our bottom-line in the quarter by approximately $1.4 million. Turning to our balance sheet, at quarter end we had approximately $17 million in cash, up from $13 million last year. As we mentioned in the past our cash balance as a function of how much we want to leverage our inventory. We have substantial cash in the form of unlevered inventory. Our inventory at quarter-end was $189 million which is consistent with both the September quarter in the prior year. As Bill mentioned, we were able to keep our inventories flat sequentially despite the normal seasonal rise which typically occurs. Turning to our liabilities, our short-term borrowings were $94.6 million at the end of December quarter down 7% from $102 million in the prior year. We ended the quarter with the current ratio of 1.80 and total liabilities to tangible net worth ratio of 0.67. Both of these are very healthy balance sheet ratios and our far better than our required current levels. Our tangible network now stands at approximately $200 million. As we have mentioned in the past year we have in more than half of our locations all of which are debt free. We believe that these attractive locations are leading brand offering are a capable team and strong financial position leads us well positioned as conditions start to improve. I would close by restating what Bill had said. It is very nice to be report that we had a sizeable increase in new boat sales. It does make us feel that we are finally hit bottom. Many external variables would determine where things go from here. I think it safe to assume that the industry will continue to bounce along the bottom and experience choppiness until greater signs of sustained industry recovery are under way. I will now turn the call back over to Bill for closing comments.
Bill McGill: Thank you Mike. If you’ve heard me say repeatedly over the years, our customers are boating and enjoying the boating lifestyle more than ever which is validated by our customers’ participation in our get-away events and increased fuel sales in our marinas. Their desire is to escape and enjoy their families are stronger than ever. I want to take a minute to remind you some of the brand expansion efforts that we have completed which should benefit as greater when the industry recovers. At the beginning of fiscal 2009, we expanded with Azimut a leading Italian and luxury brand in the state of Florid and later Tennessee, Georgia and the Carolina’s which is contiguous with our North-East market for Azimut. We also expanded with Meridian in Baltimore and San Diego. We added North East to Minnesota and Atlanta while adding Malibu to Arizona’s; these brands are the country’s elite ski and white board boat lines. We also expanded with Harris float boats a brand of fine-tuned products in several of our markets. We added Cabo in Hatteras to our New Jersey and New York markets and we have added Boston Whaler to our Naples and Fort Myers markets. With each of these expansions, we added non-cannibalizing brands to complement our existing brands that should help to yield increases in same store sales when things do begin to recover. We're working on additional line expansions as well. Historically we would have had to acquire the dealer that has the distribution rights to these market places. In this economy we have been able to complete these expansions with no blue sky payments. During the quarter we re-launched our long-standing pricing strategy for our boats and yachts which includes the equipments and services we believe that are needed by the customers. For those who remember, historically we sold by using our value price which was well received to embraced by our customers and team. Over the past few years, as we rapidly downsized the inventory and faced considerable pricing pressure from repos and dealer buyer [ph], we moved away from this core strategy. We have returned to this pricing strategy and is being received very favorably, by not only our customers but also our team members. We are convinced that it is the right approach for our customers and team and it contributed to some of our increased margins. It remains difficult to predict the timing of a full recovery for our industry and the choppiness will most likely persist for a while. We have positioned MarineMax very well for not only now but also for future opportunities. Through the top but necessary actions we have taken, we have a much lower expense structure and attractive footprint of stores, high-quality brands a proven customer focus strategy and the financial strength to take advantage of opportunities as they arrive. Our team remains optimistic about the future based upon our customer’s excitement and positive attitudes towards boating, to an increased satisfaction with MarineMax and the many initiatives that we have implemented to capitalize on the opportunities ahead. We are also working-on and actively looking at other strategic opportunities that continue to arise. And we will make expansions decisions when the economic rewards make sense. And with that operator we will open the call up for questions.
Operator: Thank you. Today's question-and-answer session will be conducted electronically. (Operator Instructions) And our first question comes from James Hardiman with Longbow Research.
James Hardiman: Good morning. Thanks for taking my call. A couple of questions, first with the used boat sales, you talked about two factors that led to that decline one was a tough comp due to incremental used boat inventory you had last year, and two that there is a shift away from used boat sales now towards news sort of reversing the trend of the last couple of years. How I think about the significance of those two factors given the – first one presumably will go away, the tough comp versus last year that sort of goes away here in the March quarter but the second one would suggest that you might have a head wind here at least for a few more quarters given the fact that presumably used boat sales out sold new sales last year, and those difficult comps might continue. How should I think about that and I should expect used boat sales to be down sort of the reminder of the year?
Bill McGill: I agree with- on your first part of the question that comps will eventually get behind is in a go-away, James. As far as the used boats are concerned there is a big positive with the used boats drying up and that means that these values of used boats are going up and so as the value of the used boats go up, it enables us to allow more for our customers that want to trade their boats back in because the values are greater. And that’s something we – that has hurt us over the last year – year and a half, and this is really difficult to make the trades because on the lower value that was out there with some of the used boats. That is increasing and we see that is – as being a real positive to help us moving forward. If you have a boat James and you want to trade it in the more we can give you the better chance we are going to go ahead and sell you that new boat or that longer used boat. I guess having to tell you how horrible it is out there in the used market which is the way it was. So we see it is a positive and the shift will move back to more of new boat sales. But also that being said there is a lot to be said for the new boats that our out there with the innovation whether it is Zeus or Axius or a lot of the new changes that may made to the product and encourage the buyer to say hey let’s go ahead and do the new.
James Hardiman: And so, I guess two to sort of follow up questions to that – the difficult comp versus last year, is that now over or is that sort of carry over into I guess second quarter of last year and then the shift away from used towards new is that – that a positive margin impact there?
Bill McGill: Yes the new boats that we sell at the higher margin than used by a couple of points and we did have, you look at the quarters last year we did have strongest used boat sales in the December quarter. We still had some flowing into the March quarter but I think that if you look at the cycle of industries has gone through, the manufacturers were not building boats a last couple of years dealers want fine boat. We still getting rid of the inventory that we had, I think that as new both sales pick up, the cycle of the industry will recover meaning as we sell more new boats were taken more trades right because we take trades at the dealer, and so then the used boat sales will continue to pick up along with the new boat sales. But coming through our dealer if you follow what I’m saying?
James Hardiman: Yes.
Mike McLamb: Versus the repossession of liquidation that were out there in the marketplace which – a lot of which went outside of the dealers last couple of years.
Bill McGill: And is – another point James is as last year is we were selling the used boats, value of used boats was decreasing so inventory that we owned we ended up taking less margin owned to get it moved because the values were decreasing. And so we are in a better lot better position this year to make more margin on the used boats that we do have. And I think just with the not to keep adding comments to the question you asked James but with the inventory getting in better and better shape from an ageing standpoint supply versus demand. I mean dealers are making more money on the new boat or used boats today than the past.
James Hardiman: Great that’s really helpful, and then quickly here on the new boat side can you comment a little bit on the mix that the – I guess the size of the boats that are selling obviously there is been a lot of discussion certainly with Brunswick, at least that lower-end aluminum boats are actually leading the recovery and the higher end probably less boats are lagging behind but certainly the fact that you guys appear to be taking share and you guys lean more towards the higher end boats seems to refute that to a certain degree, can comment on that mix of new business and then if that compare or how they compares to the industry trend.
Mike McLamb: I would say that the industry trend for the December quarter, I have not been able to find too many reports to show new boat sales are up. The recent data that shows that in the – on the info links to give them a plug, on their website there is a, it looks like December quarter got much better as the quarter closed that it was still negative. So the answer of that question you don’t see how lot of day to get external from our press release it says the unit sales were up. But our increase in our new boat sales was kind of across all segments in all categories, certainly aluminum products that we carry were very low but even a weather it is a small run about or Sea Ray or a larger Sea Ray, we did pretty well. I guess I would have said we probably leaned a little more on the larger product I mean we did have a greater dollar increase for the unit increase, but unit increase is still putting on strong.
James Hardiman: Excellent very helpful, thanks guys.
Bill McGill: Thank you James.
Operator: Next we will hear from Gregory Mckinley with Dougherty & Company.
Gregory Mckinley: Thank you. Yes, your comments on the used boat market were helpful and it actually seems like tighter inventory there will be to improve margins and certainly as new boat sales picked up you are beginning trade in etc. From part of the equation which I am just wanting to better understand is the degree to which we will call it leaner inventories available to you on used boats market will weigh on it sort of near to mid-term revenue growth potentially even if you are seeing new boat sales pick up, well – will new boat sales be able to more than offset that and I know you indicated last December was your big used boat quarter but are we in a situation where improvement in a new boat market is going to allow us to start producing year-over-year top growth here in the near to mid-term?
Bill McGill: Hi, you know what – I think it all depends – Greg on ultimately what happens in the March quarter, I mean we reported one quarter and this is the smallest quarter of the year of significant increase in new boat sales. If that trend continues or even if it is down from that but still pretty strong and there should be every thought possible that we would have positive comp growth and the trades taking on those will be more than enough to offset the used boats from last year. So it really all still depends on what’s the trajectory from the bottom, but we are saying we are at the bottom which is what it feels like what happens from here. If it just kind of bounces along, if I think few things we probably have a little pressure in the March quarter because I think our used boats were little higher last year and we have the opportunity to go out and purchase boats that are not trades in this settlement, and we have done some of that in the past not to a real material degree but we have that opportunity but- so Greg to answer your question it depends ultimately on the trajectory to which you think or we all think, that industry is going to recover.
Gregory Mckinley: Yes and then Bill you had commented about going back to an old pricing strategy but I missed your comments on that. Could you elaborate there please?
Bill McGill: When we – prior to actually MarineMax and once we formed MarineMax ,we created what was called as a value price, which is basically pricing the boats in the markets and basically saying that’s the best price that we can do and still remember everything that if you want out of this MarineMax experience, and that was the price, it was a non-negotiable price and the trade was – the true value that we had allowed for the trade and we got away from that and started to get top and markets started to be challenging and so we got into a negotiation type of mode with our customers and what we know is that, what our customers prefer and even though they are great negotiators, what they really prefer Greg, I just want to know the guy is my neighbor who didn't buy the boat for less than I did and that is the best price that you can do and if you do not give it to somebody else for a better price understanding that time changes things and special promotions from manufacturers. And our customers welcome that and so we have gone back to it, we're not calling it value price, we actually calling it on the price sticker – it is the value price that we're calling it this boat as low as. (inaudible) when you hear that there is a couple of messages that come across, one is, that is the bottom price, we're not going any lower, we say this boat is low as, and then it gets to one big question and that is what I have to going to pay and what is not included and is this a based on switched – story and my answer to that is it’s fully equipped it comes with the full tank of fuel goes with all the equipment , the name on the back and all the equipment we think that should be there and there is no games. As this boat- as you see it the way it is equipped plus more including our getaway trips and captains etc. And it has been very, very well received and actually is contributing to margins because as you know, you probably know is once you start negotiating, we're at the bottom. And so we are being fair and with a price that we put on the boats and we adjust it according to ageing and according to investor market and that type of thing, but at the end of the day it is, that is the price and it is the right thing to do for our customer and of course, if we're into relationships selling and that where – what we really do it is about people making friends with our customers, our team making friends with them, it is confrontational when you get into the negotiation part of it. So we’re hearing that the team loves it and also I have got calls from consumers saying they appreciate us getting back up.
Gregory Mckinley: Okay, that is helpful thank you.
Bill McGill: Thanks Greg.
Operator: Next we will hear from Tim Conder with Wells Fargo. Tim Conder – Wells Fargo Thank you gentlemen, can you hear me?
Bill McGill: Yes, I hear you. Tim Conder – Wells Fargo Good morning, a couple of questions here. First of all, just wanted to make sure are you seeing any hints in any way of any potential shadow inventory creeping back on the market not necessarily from the big manufacturers but may be small manufacturers that have maybe have kept things didn't, is there any evidence at all with that.
Bill McGill: I'd say, maybe a very small degree of some boat shows off some manufacturers that are there direct without a dealer right. We have not seen a lot of that though really and there are manufacturers that are really struggling and in serious trouble and that are doing some dumping at the shows of their inventory but we see the challenge but we have been able to overcome it in most all cases because at the end of the day, you are not buying a boat you are buying a lot of things that goes to go around that boat and so you need the support of a good dealer and with a manufacturer direct, the consumer does not have that. And the banks that we speak with Tim who had these two years ago had a lot of dealers that they were watching and worrying about, there are still some they are watching and worrying about but it is a much smaller list today than that it was and then the inventory at those places is much lower. I mean we – the industry has a decent size, it is still small, we know much of the dealers and talk to them and everybody has done a good job getting inventory down. Tim Conder – Wells Fargo Okay, and that is a similar things what we're doing, I just wanted to ask you – from a size standpoint and may be just, I hear creeping back out but it is just not that much relative to what it has been. Okay.
Bill McGill: The other thing that we are see in-tern is like the boat shows historically, we have – we would see other manufacturers with a larger products at the show boats in the 35 foot to 50 foot range as the displays and most of the shows that I have attended and Ed Russell our Chief Operating Officer has attended, what we're seeing is we're about the only game in town when it comes to large boats at the show, which is an indication that the, number one; the dealers either couldn’t afford to bring it there or they could not afford to floor plan the larger boats so that they don’t have its brand [ph]. And so that gives us a competitive advantage, albeit it puts a lot of traffic into the boats that we bring there are larger because we are the only one at the show that has the larger boats so it makes it harder to pick out the buyers and give them the room that they need to really make their decision. So there is positives and negatives to it, but it is an indication there is a lot of problem inventory out there. Tim Conder – Wells Fargo Okay, in another front and back to your original statement Bill, if we looked at over the last 10 years new boats as a percent of total new and used sold have averaged about 25%, now that has dropped down to 16% in ‘09 and we can’t estimate neither it bottomed down at 13%, 14% this year. From where you're sitting today and you are going to know a lot can change, what is your view as far as the total units sold, do you think that will be flat, up, down in 2011 both new and used. And I want you to answer that and then I guess then the follow-on question is what you are alluding to is that if the lot of this other inventory is dried up then by default people have to come more into new. So I guess, just your perspective on what you think total units will do flat up or down for 2011 versus ‘10.
Bill McGill: Well, first of all, you know the industry data that you quoted on new verses used is correct. As you heard me, ours is more at 30 has been historically more than 30% used and the reason for that is worth talking about and that is because we do a lot of repeat business with our customers so we take a lot of trades and have the ability to take those trades. As far as what happens to the industry what it will be for 2011, whether it is 130,000, 140,000 or 170,000 units, I cannot really give you that – with any type of confidence give you any type of feeling as to where it would be – that I think there is a lot of things that is going on out there that we don't know how they are going to impact the housing market. We are still hearing that it is, maybe it is bottomed but we also hearing, maybe it has not bottomed. And so there is still a lot of things that are sitting out here in the economy that will see – we are more focused on what are we going to do and we are doing everything we can to keep our customer satisfaction as high as we possibly can and we measure it, on – I locate every survey, every single week that we get it back with net promoters score with our customers and we grew our customer satisfaction last year over what it was the year before and it was world class the year before. So, we are keeping our focus on the customer, we are doing more get-away events with them, this year I am hearing from the team that we have 30 something boats coming out of lake law near in Georgia doing a cruise to the Bahamas. And understanding fuel prices have increased and may be increased more so we're seeing a lot of, we are investing almost everything we do back into our customer and making sure that we keep them excited about boating, but hopefully the units go up and but I don't that I could tell you what the industry will do. Tim Conder – Wells Fargo Okay, and then lastly gentlemen you have referenced earlier Sea Ray and Axius and Zeus sold out from Brunswick. Of the boats you are selling in the categories that carry Axius and Zeus, how are things trending there versus maybe other products that you see that are in the industry that you sell that does not have technology like that as far as your ability to close those sales?
Bill McGill: What is our – once a potential buyer experiences Axius or Zeus it is something they want and desire, there is a cost that is associated with both of them and so we have, we are being sensitive to that and in some cases we are not making the sale because they have added premium to put them on but it is being very well received and is a true benefit to the consumer's, so we believe the innovation is still part of the future and of course manufacturers behind it is have been better. Tim Conder – Wells Fargo Okay, thank you gentlemen.
Operator: And we have a follow-up question from Gregory Mckinley from Dougherty & Company.
Gregory Mckinley: Yes, thank you. I apologize, because I know you mentioned it earlier but could you just refresh my memory on historically your revenue mix between new and used what it is now and maybe how you think the market is setting up for that mix in the mid-term?
Bill McGill: We, as a dealer. If you take out these last couple of years, which are anomalies, we were typically, gosh, around 70% new 20% used of our total revenue mix and the remaining 10%, 11%, 12% is that I'm giving you rounded up numbers with these service parts accessories and all the things that we do. We have obviously grown those businesses from where they would be so, I would think that kind of on a normal basis going forward instead of being 90% of our overall revenue, 70+20 it is probably going to be more like 83%, 84% because other businesses have grown. And I would think for a dealer, I think you are going to get back to that kind of mix because of the trades that we take and I think for the industry number, the industry is the exact opposite of we are because there are so many more used boats sold out than the new for the overall industry in the question that Tim was asking, but I would expect us to return to those normal levels that we experienced for 10, 11 years.
Gregory Mckinley: And where have you been then, in the most recent year or two please?
Bill McGill: I don't have it right in front of me but it is probably – would be more like, not far from those numbers, I don't believe but, take five points off of new and ship it over to used depending on the quarter or something like that. And it is hard for a dealer to change those percentages unless you go out and materially – buy used boats from a private party or from another dealer or a bank or something like that, and we did some of that during this downturn but not enough to really materially alter our percentages.
Gregory Mckinley: Yes, okay, thank you.
Bill McGill: Thank you Greg.
Operator: Next we will hear from Brandon Taylor with Raymond James.
Brandon Taylor: Hey, good morning guys.
Bill McGill: Hey Brandon.
Brandon Taylor: I just wanted to ask if you can give any color or direction on maybe January same store sales trends or just reductions you are seeing year-to-date.
Bill McGill: I don't have the actual same store sales number for January, we did close the books I probably, the best way to answer and Bill gave you some boat show comments but January’s trends I think are consistent with our comments that the industry is probably hit bottom and there will be some choppiness so January, we don't normally do monthly comps but generally it wasn't down but wasn't up as far as either as, as our new boat sales were up in the December quarter. So I think it is all consistent with the message that we believe it looks like the industry is at bottom and the trajectory coming out of that, it has a lot of variables that play. But we recognize sales when we and have completely closed the boat right and we have had quite a challenge with weather and not only in December, the coldest December on record in Florida, but also in January and a lot of areas of the country. That has been impacted – impacting some of those deliveries.
Brandon Taylor: Okay, thanks guys
Bill McGill: Thanks Brandon.
Operator: There is a follow-up from James Hardiman with Longbow Research.
James Hardiman: Hey guys, a quick follow-up for you. You commented on the momentum at some of your boat shows, obviously everybody sure looks to read the (inaudible) with success of these boat show is. Can you talk a little bit about historically how good an indicator are those boat show's have been, I remember headed into – heading into recession there was a little bit of a head fake, boat show sales seem to be good and then recession hit and a lot of people backed out but excluding that year, are these normally a good indication, for example last year ultimately what did your boat sales look like last year heading into year that actually declined a decent amount?
Bill McGill: At the shows you mean?
James Hardiman: Exactly.
Bill McGill: I think that shows, we are much happier to say shows are up or flat than down. I will tell if they are down it is a real sign that things are soft, if they are up you got to be careful, you have to have a good February, March and April, I think we had that year back and another year where boat sales, boat shows were pretty good in January but there we have some struggles of floor traffic in the month of March I think that was in ‘07, the one difference what we are seeing versus last year at which is probably where you are getting to James is that the quality of what we're contracting at the shows this year appears to be much better in other words the ability is to get them financed is looking better and they appear to be a more firm deals that we are writing. So its people putting larger down payments or their commitment is there in short, I would say we are having less fallouts as we are experiencing this year versus what we did last year.
James Hardiman: And just to delve into that a little more, when you have a commitment at a boat show does that translate into say – what is the lag there I am assuming it does not typically translate into a sale of that day but how does that how does that normally play out?
Bill McGill: Well the way it plays out is usually there is demonstrations that go after the boat show contract is concerned, there is financing that has to be accomplished and some of the details that have to be worked out in the equipment or whatever the customer wants to do that and so usually it depends on the market if its Florida at following the boat show, it can close with a very short period of time a week or a month if it is in northern markets and in some cases it just maybe spring before it actually closes. But there is a lot of things that have to go on but it is probably that the one thing that is different this year appears to be different than last year is that people are contacting, appear to be more serious than they were a year ago, or at least the ability to get it done appears to be easier and that is maybe a better way to put it.
James Hardiman: Very helpful, thanks guys.
Bill McGill: Thank you.
Operator: At this time, there are no further questions. I will turn the conference over to Mr. Mc Gill for any additional closing comments.
Bill McGill: Thank you everyone for a continued interest in supporting MarineMax and I would also like to again thank our team members for their hard work and their passion for our business and our customers. It’s truly due to their efforts that we can call ourselves the main boat retailer in the country. Mike and I are available today if you have any additional questions and thank you for joining us on the call.
Operator: This does conclude today's conference call, thank you for your participation and have a nice day.